Operator: Good morning, and welcome to the ADM Fourth Quarter 2025 Earnings Conference Call. All lines have been placed on a listen-only mode to prevent any background noise. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Kate Walsh, Director of Investor Relations for ADM. Miss Walsh, you may begin.
Kate Walsh: Welcome to the fourth quarter earnings conference call for ADM. Our prepared remarks today will be led by Juan Luciano, Chair of the Board and Chief Executive Officer, and Monish Patolawala, our Executive Vice President and Chief Financial Officer.
Juan Luciano: We have prepared presentation slides to supplement our remarks on the call today, which are posted on the Investor Relations section of the ADM website and through the link to our webcast. Some of our comments and materials may constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance, and financial results. These statements and materials are based on many assumptions and factors and are subject to numerous risks and uncertainties. ADM has provided additional information in its reports on file with the SEC concerning assumptions and factors that could cause actual results to differ materially from those in this presentation and the materials. Unless otherwise required by law, ADM assumes no obligation to update any forward-looking statements due to new information or future events. In addition, during today's call, we will refer to certain non-GAAP or adjusted financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are available in our earnings press release and presentation slides, which can be found in the Investor Relations section of the ADM website. With that, I will now turn the call over to Juan. Thank you, Kate.
Juan Luciano: Hello, and welcome to all who have joined the call. Please turn to slide four, where we have outlined our performance highlights. Today, ADM reported fourth quarter adjusted earnings per share of $0.87 and full-year adjusted earnings per share of $3.43. Total segment operating profit was $821 million for the fourth quarter and $3.2 billion for the full year. Our trailing fourth quarter adjusted ROIC was 6.3%, and cash flow from operations before working capital changes was $2.7 billion for 2025. We also made good strides in managing our working capital, and, for example, we realized a $1.5 billion cash flow benefit from inventory reduction. I'll share a few highlights from across our business for the fourth quarter. Our AS and O team delivered record crush volumes in South America, our carbohydrate solutions team capitalized on SNO opportunities, and our nutrition team continued to improve execution across the board. And throughout our operating footprint, global teams improved manufacturing efficiencies. I am proud of the team's rigor around focused execution and capital discipline throughout the year. And in the fourth quarter, we paid our 376th consecutive quarterly dividend. Please turn to Slide five. We navigated the dynamic and difficult market during 2025. And as we steered through those headwinds, we intensified our focus on areas within our control and prepared our business to take full advantage of what is expected to become a more constructive operating environment going forward. Here is a recap of the significant progress we made during 2025. First, we executed more than 20 projects as part of portfolio optimization and simplification initiatives that are helping strengthen our business and support our core strategy going forward. Through this work, we achieved approximately $200 million of cost savings and announced the joint venture with Altek, which I'm pleased to report has commenced operations recently.
Juan Luciano: Second, we addressed plant efficiency issues across our asset network and reduced our unplanned downtime. We restored operations at our Decatur East plant and achieved an important safety milestone by having the lowest injury rate in the company's history. Third, we reached an important decarbonization milestone. We connected our Columbus, Nebraska corn milling plant to Tallgrass dryblazer pipeline, extending our carbon capture and storage infrastructure beyond our Decatur operations. Fourth, we advanced Nutrishna's recovery, improved execution, and increased revenue. Fifth, we generated strong cash flow as we relentlessly focused on improving working capital. And as we announced last week, we reached the closure of government investigations of ADM related to the company's prior reporting regarding intersegment sales. We are pleased to put these matters behind the company. Please turn to slide six. Our operating environment throughout 2025 was challenging. And our team demonstrated impressive resilience as we strengthened the core of our business through portfolio optimization, disciplined capital allocation, tighter working capital execution, enhanced cost control, and lower transaction costs. This strengthening of our business not only allows us to continue to increase our dividend and return cash to shareholders, but it also affords us the ability to invest in future growth regardless of the commodity cycle. There are five key focus areas for our next wave of growth. We are leveraging our assets and expertise along with technology to build out our operations in enhanced nutrition, biotics, biosolutions, precision fermentation, and decarbonization. Each of these businesses has a different growth profile and timeline for value creation. But each complements what we're doing today and presents the potential for compelling enduring returns. For example, we are advancing innovations in enhanced nutrition for allergen-free pea protein, unlocking opportunities in specialized nutrition, such as ultra-high protein drinks, protein bars, and fortified snacks. On the natural flavor side, we have created patented technology for cleanseed flavors that are high-value ingredients for beverages. In natural colors, we have developed a breakthrough natural blue addressing one of the food and beverage industries' toughest challenges: producing a natural, stable, water-soluble, and safe blue pigment, which is exceptionally rare in nature. We're also developing next-generation functional ingredients and combining the benefits of biotics and botanicals. Across operations, we continue to invest in sidestream valorization as part of our ongoing efforts to optimize our production processes and add value to our byproducts. We also see a long multiyear run rate of growth projects connected to the work we're doing around large-scale decarbonization, including carbon sequestration. I now like to discuss the key market trends and company growth drivers for 2026 that support our outlook for a more constructive operating environment. The recent progress with China trade relations combined with the expectation of pending US biofuel policy clarity should support an increasingly constructive market environment throughout this year, particularly for our AS and O business. We expect positive economic opportunities for the industry and the American farmer to materialize, which should drive additional long-term investments throughout our business and the agriculture sector. Our outlook also assumes segment operating profit for Carbohydrate Solutions remained relatively flat, with lower starches and sweeteners volumes and pricing, offset by higher ethanol margins. And nutrition is expected to continue its trajectory of stronger organic growth and execution. Overall, there is much to look forward to in 2026 and beyond. Our current outlook for adjusted EPS in 2026 is a range between $3.60 and $4.25, which reflects growth over 2025 and appropriately captures the fluidity and timing on market response as global trade and biofuel policies continue to evolve. With that, let me hand it over to Monish to share a deeper dive into fourth quarter and full-year 2025 financials, as well as the assumptions underpinning our 2026 guidance.
Monish Patolawala: Thank you, Juan. Please turn to Slide seven. 2025 was a dynamic year in the global trade and biofuel policy landscape, both of which impacted AS and O results. AS and O segment operating profit for the fourth quarter was $444 million, down 31% compared to the prior year quarter. For the full year, AS and O segment operating profit was $1.6 billion, 34% lower compared to 2024. In the Ag Services subsegment, operating profit was $174 million for the fourth quarter, representing a decrease of 31% compared to the prior year quarter. The decrease was driven primarily by lower export activity from North America combined with net negative timing impacts of $50 million compared to the prior year quarter. For the full year, Ag Services operating profit was down 11% compared to 2024, driven by lower North American exports and a challenged global trade environment. Throughout the year, farmer selling was limited by muted pricing, and combined with customers reducing the amount of inventory held, we experienced fewer trading opportunities. In the crushing subsegment, operating profit was $66 million, down 69% from the prior year quarter. While global crush volumes increased over the prior year quarter with crush volumes increasing 7% sequentially and 4% compared to the prior year quarter, weaker crush margins in North and South America pressured results. Additionally, there were net negative timing impacts of approximately $20 million compared to the prior year quarter. Further, there were approximately $20 million of reducing insurance proceeds related to the Decatur East claims versus the prior year quarter. For the full year, crushing operating profit was down 81% compared to 2024, with the main reason being a significantly weaker crush margin environment. Year over year, there were approximately $44 million of reduced insurance proceeds. In the refined products and other subsegment, operating profit was $119 million, down 2% compared to the prior quarter as positive timing impacts helped offset weaker food demand and lower biodiesel and refining margins. We have a net positive timing impact of approximately $72 million as compared to the prior year quarter. For the full year, RPO operating profit was 4% lower than 2024 due to the same food and fuel dynamics that pressured fourth quarter results. Equity earnings from our investment in Wilmar were $85 million for the quarter. Excluding specified items, it was up 49% compared to the prior year quarter. We typically record our share of Wilmar's financial results on a three-month lag basis, with the exception of material transactions or events that occurred during the intervening period that materially affect the financial position or results of operation. During the fourth quarter, we recorded a $254 million gain related to the transaction Wilmar closed, and I presented this as a specified item. For the full year 2025, equity from Wilmar, excluding specified items, was approximately 14% lower as compared to 2024. Turning now to Slide eight. For the fourth quarter, Carbohydrate Solutions segment operating profit was $299 million, down 6% compared to the prior year quarter. Similar to 2025, we saw the continued weakness in starches and sweeteners be largely offset by strength in ethanol margin. For the full year, Carb Solutions segment operating profit was $1.2 billion, down 12% compared to 2024. Further, there were approximately $33 million of reduced insurance proceeds related to the Decatur East and West claims versus the prior year quarter. For the fourth quarter, starches and sweeteners operating profit was $256 million, down 16% compared to the prior year quarter, in part due to a continuation of consumer buying trends experienced throughout 2025. We are seeing SNS softness being driven primarily by less consumption of packaged goods, and this impacted both volumes and margins. Additionally, in EMEA, SNS volumes and margins continue to be impacted by persistent high corn costs related to industry-wide crop quality issues that we have previously disclosed. Importantly, for this quarter, there were approximately $33 million of reduced insurance proceeds related to Decatur East and West claims compared to the prior year period. For the full year, SNS operating profit decreased by 21% as compared to 2024, with the decline primarily attributable to the ongoing trends impacting the fourth quarter. Year over year, there were approximately $75 million of reduced insurance proceeds. For the Vantage Corn Processors subsegment, operating profit for the fourth quarter was $43 million, up 187% from the prior year quarter. Ethanol industry margins remained stable through October and November before experiencing typical seasonal softening in December. Export and pricing strength continued to be supported primarily by mandated markets, which has kept inventory levels balanced. Overall, ethanol EBITDA margins per gallon for the quarter were approximately 33% higher compared to the prior year quarter. For the full year, VCP operating profit was up $119 million compared to 2024, driven by stronger demand and improving ethanol margin. Now turning to Slide nine. In the fourth quarter, Nutrition segment revenues were $1.8 billion, remaining relatively flat compared to the prior year quarter. Human nutrition revenue increased by 5%, while animal nutrition revenue decreased by 4% compared to the prior year quarter. Animal Nutrition revenue was impacted by previously disclosed portfolio Nutrition segment operating profit was $178 million for the fourth quarter, down 11% compared to the prior year quarter. As previously disclosed, insurance proceeds related to Decatur East in 2024 were $46 million as compared to zero proceeds received in 2025. Human Nutrition operating profit was $56 million, down 10% compared to the prior quarter, with the decline attributable to a reduction in insurance proceeds. Excluding the impact of insurance, the growth was largely attributable to strong North America flavor sales and recovery in specialty ingredients. For the full year, human nutrition operating profit was $319 million, down 2% when compared to 2024. Human Nutrition experienced significant operating profit growth led by flavors and the recovery of specialty ingredients. However, this growth was more than offset by the reduction of insurance proceeds. As previously disclosed, insurance proceeds related to Decatur East in 2024 were $1 million as compared to zero proceeds received in 2025. For animal nutrition, operating profit was $22 million for the quarter, down 15% compared to the prior year quarter as a result of localized volume softness and the impact of one-time items. For full year 2025, Animal Nutrition operating profit was $98 million, 66% higher than 2024, with the growth driven by improved margins as a result of focusing on higher-margin product lines combined with portfolio streamlining actions and cost optimization efforts. For 2025, corporate and other business costs increased by approximately 25% compared to 2024. For the full year, corporate and other business costs increased by approximately 19% compared to 2024. In both periods, the increase was primarily due to higher charges related to revaluation losses, including impairment, contingency, and restructuring charges. These losses were partially offset by lower interest expense, higher other income, and lower unallocated corporate function costs. Turning now to slide 10. For 2025, ADM generated cash flow from operations before working capital of approximately $2.7 billion, down by $600 million relative to 2024 as a result of low overall total segment operating profit. Restricted cash increased $1.2 billion to $4.5 billion, mainly driven by ADMIS. We continue to maintain a solid cash position, and we have made good progress in improving our working capital efficiency. As Juan mentioned, we realized a $1.5 billion cash flow benefit from inventory reduction as we sharpened our inventory management practices and improved demand forecasts. We continue to be very disciplined in the areas in which we invest. For 2025, we continue to be very prudent in our investments and invested $1.2 billion in capital expenditures. We also returned $987 million in dividends to shareholders throughout 2025, with Q4 being the 376th consecutive quarterly dividend. And finally, our leverage ratio at 12/31/2025 was 1.9 times, in line with our previously communicated year-end target ratio of approximately two times. Now turning to slide 11. We have provided further details on our 2026 outlook. Earlier today, as Juan mentioned, we provided our current outlook for 2026. We are providing an adjusted EPS range of $3.60 to $4.25 for the full year 2026 and view this range of outcomes as highly predicated on several key factors. First, the timing of when we receive US biofuel policy clarity. The earlier we receive policy clarity, the larger the opportunity to take advantage of what we expect will be an increasingly more constructive operating environment. Second, the size of the RVO requirement and the SRE offset. With the final mandate still under evaluation, visibility into the magnitude of improvement in the operating environment and the pace of industry adoption remains limited.
Juan Luciano: Third, we expect robust ethanol export opportunities to continue, driven by mandated markets. We also expect domestic demand to strengthen with US biofuel policy clarity, and ethanol margin strength to be further supported by policy incentives. Strength in ethanol is expected to offset the continued softness in FNS projected from a continuation of the same consumer behavior trend we experienced in 2025. Fourth, we are expecting continued growth in nutrition driven by growth in flavors, continued recovery in specialty ingredients, and growth in health and wellness as global consumption of biotics increases and customers expand their range of applications. And in animal nutrition, we expect margin expansion to contribute to nutrition's operating profit growth as we focus on higher-margin products and see the benefits of our portfolio optimization actions materialize. As Juan mentioned, we have commenced operations of the joint venture with Altec. And while we don't expect it to have a material impact on Nutrition operating profit in 2026, we will see revenue decrease as a result of contributing those operations to an equity investor. Fifth, moving to corporate. We expect a portion of the segment operating profit growth discussed to be offset by higher expenses year over year that reflect continued investment in R&D and digital platforms. The impact of lower performance-based incentive compensation relative to 2025, an expected effective tax rate between 18-20%, and lower ADMI interest income due to a lower interest rate environment. We will also maintain a disciplined capital allocation policy, including a focus on solid cash flow generation while we continue to pursue cost savings. And we remain on track to achieve our targeted aggregate cost savings of $500 million to $750 million over three to five years, which we began in 2025. Additionally, for 2026, we expect to invest approximately $1.3 billion to $1.5 billion in capital expenditures. With regards to 2026, as previously disclosed, we expect crush margins in 2026 to be similar to 2025 as we have already booked a large portion of our first quarter business. As a reminder, we don't exclude mark-to-market from our estimates, so depending on how factors, including board crush and cash margins move, we could see positive or negative mark-to-mark timing impacts that differ from our current expectations. In Carb Solutions, we see similar trends to those we saw throughout 2025 relating to demand softness in starches and sweeteners, and we expect ethanol margins to be tempered by higher industry run rates. Nutrition is expected to show continued improvement over the prior period and sequentially, as we drive revenue growth and continue to see benefits from the recovery of special ingredients. This improvement is expected to be partially offset by the previously disclosed employee incentive compensation favorability in 2025. Our team is also continuing to monitor consumer behavior as it relates to our human nutrition business. To conclude, I want to thank our ADM colleagues for their focus, disciplined execution, and continued commitment to our long-term success. These efforts remain essential to navigating today's dynamic operating environment and delivering value for our shareholders. Back to you, Juan.
Juan Luciano: Thanks, Monish. Let me wrap up by saying thank you to our colleagues for the solid strides made during 2025 with our strategic portfolio optimization and cost reduction initiatives. All of which are expected to strengthen our business and our cash flow for years to come. We're building out the next wave of long-term value creation, and specifically for 2026, we will be highly focused on optimizing our results in what we expect to be an increasingly constructive operating environment. With that, we'll take your questions now. Operator, please open the line.
Operator: Thank you. If you would like to remove your question, please press star followed by 2. When preparing to ask your question, ensure to unmute yourself locally. The first question goes to Manav Gupta of UBS. Manav, please go ahead.
Manav Gupta: Good morning. And first, really want to congratulate the entire team. I know Monish and his team particularly worked very hard with the SEC and DOJ. So glad that's all behind you. Very happy for you about that. My first question here is, sir, that, I know it's difficult to provide a guide with RVO not out there, and thanks for doing that. Trying to understand renewable diesel margins are already on the way to amend. RINs are also moving higher. And so when the RVO finally arrives, do you expect a material jump in the operating rates and processing rates of both biodiesel and renewable diesel facilities because then they would know exactly how much RINs they would have to meet, you know, how much the market would know how much RINs obligation would be. So if you could talk a little bit about that.
Juan Luciano: Yes. Thank you, Manav. And, yes, we're very pleased to leave these investigations behind us with disclosure. Listen. It's been very difficult to give guidance because there are so many things that you described outside our control, and we don't feel comfortable in that regard. That's why our guidance is wide. What we are discussing here is the timing of all these coming to the P&L. We know it's positive. We know it's gonna come. So I think that when it's coming, it depends on when the government makes a decision and clarifies the policies. But also on how the market digests those policies and those get implemented. We're gonna see board crush. We're gonna see RINs. But at the end of the day, we need to see cash margins moving. And, don't forget that our business, which is a very large business, works in anticipation of the market. So we tend to sell every time we get into a quarter. We are sold maybe 60% or 70% into the following quarter. So if these things will be done at the '1, for us, it will be mostly July onwards, if you will, that we'll be able to realize that. So that's what creates the uncertainty. I think in not in a calendar year, this is extremely positive for the industry and certainly for ADM, pulling more vegetable oils into biofuels. That's gonna happen not only in The US, with the RBOs, but it's gonna happen in Brazil, hopefully, with B16 started either in March or in June. It's gonna happen also in other places around the world. So again, I think we try to be very balanced in saying, we see improvement based on the year over year on the things that we can control. We see some clarity in trading, and as we're gonna have some volumes from soybeans going to China that we didn't have in '25 materially. And then we see this RVO that's gonna help with the leg of the oil for the crash. Mill continues to be supported. And then we see growth in nutrition as we described. So we're very constructive about the future of our ADM. We also I also talked, Manav, a little bit about the long term. We have identified five platforms that are really very exciting that they're gonna come over the next five years at different timelines based on the difficulties or easiness of their implementation. So when you think about our self-improvement, plus all the policy coming our way, again, that is a matter of timing. Plus our growth prospects, we feel very strongly about the next few years for ADM.
Manav Gupta: Thank you so much for the detailed response. I'll turn it over. Thanks.
Juan Luciano: You're welcome.
Operator: Next question goes to Ben Theurer of Barclays. Ben, please go ahead.
Ben Theurer: Hi, good morning. Thank you very much for taking my question. Juan, if I could just follow-up same wishes on my side. Congrats on closing the case. Wanted to follow-up on the outlook piece and dig a little bit into nutrition and, like, kinda, like, tying it back to some of the commentary you've made in the past, pick a tree is being back up. Obviously, the fourth quarter probably wasn't as good as expected what you had initially. Like, kind of, like, tacked down for the nutrition segment. So as we move into '26, maybe can you give us an update on where you stand with, like, gaining these customers back on the fulfillment, everything that you first lost on Decatur East that you now need to, like, kinda, like, gain back. And maybe within the range of the guidance, associated, what are, like, kind of, like, the bull and the bear cases here as it relates to a, demand, and then b, the fulfillment of the demand from your side?
Juan Luciano: Thank you, Ben. Listen. Let me start addressing a little bit the performance of nutrition, the true performance, because I think it is important that we provide clarity on the operating performance of the business. If you compare apples to apples, Q4 2025 versus Q4 2024. Q4 2024 has a significant piece of insurance proceeds into the nutrition P&L. So if you exclude that just to see the operating performance, we had a very strong quarter in flavors with OP up close to 60% or something. Ambiotics, up north of that. Driven mostly from Flavor North America, which has a very strong quarter. We did have a little bit of a softer quarter from a demand perspective in Europe. And we don't know if it just was timing or something because we've seen it recovered when we started the year in 2026. So we saw that coming back in January. As you said before, specialty ingredients continue with the Decatur East plant back online. But, of course, this plant was down for eighteen months, so we are doing some plant stabilization, some driving productivity. You bring it first back on safety per premises. So and then you try to do the optimization of the plan. So we're in that process. And at the same time, again, our customers move away after eighteen months of us not being able to supply fully. So as you said, we need to recover that, and we need to recover that prudently. But we would like to claim our share of the market back. So we are in that process. And I think that process is going well, but it's gonna take some time. Animal nutrition was a little bit soft with some pockets of softness, but also we have some one-off impacts. I think the trajectory overall of animals year over year has been positive, and we expect that to continue. So I would say when we look at 26, as the overall year, and I can't call it by quarter, but overall year, so we will have still strength in flavors for both geographies. We also have continued to grow in Asia Pacific in flavors, which we had a record year in 2025. We're gonna see a good demand in biotic and we're gonna continue with our margin improvement quest in animal nutrition. So that's where we see the business. So, yeah, we see growth for operating profit into the business in 2026 versus 2025. And just a tactical bend for you is as I've mentioned in my prepared remarks, when you're doing your modeling, we've you know, Ian, Ishmael, and team have done a great job with the Altec JV that has gone live. So just make sure that from a revenue perspective, you won't see the revenue, the profit for 2026 is pretty much where it was as this JV takes hold. So it's a part of what Juan mentioned, which is moving to higher segments or higher product mix in the animal nutrition.
Operator: The next question goes to Heather Jones of Heather Jones Research. Please go ahead.
Heather Jones: Good morning. Thanks for the question. Wanted to my question is on CRUSH, and I just it's a it's a big picture question. So I've I've followed you guys for over a decade, and just have been sort of puzzled by ADM's performance during '25. I particularly Q2, Q3, and Q4. Y'all's performance relative to public comps has been the the gap has been much wider than historically and has been to the downside. And my understanding is that your runtime issues have improved in '25 and that y'all done a better job on the operations execution side. So just wondering, is there a change in how you're hedging? Or just because, obviously, the the biggest influencer of your results over the next couple of years is gonna be RVO policy, and it's gonna affect crush most dramatically. And so I'm just trying to get a handle on how we should be modeling how ADM will benefit. So if you could just help me understand that disparity, it would it would it would be very much appreciated. Thank you.
Juan Luciano: Yeah. Thank you for the question, Heather. Of course, we spend a lot of time in in app services and all seats, which is our largest business. I don't see anything clearly from a commercial perspective that has changed for us to justify what you described. I would say the main difference since I've been running this full so many years is our manufacturing costs have gone up. Not actually the performance, as you said, online time, I think, has has recovered, and that's going well. But our cost in terms of energy or manpower or contract and things like that, is higher than than it used to be, and we're working hard to reduce that. But that's probably something that I can point out, and as I said, we have good plans to do that. Things have become a little bit more expensive to build. We have a large footprint. A little bit more expensive to repair. And labor has been more expensive, especially in North America. I would say if you look at our the cost of our plants in the rest of the world versus North America, North America has become a little bit more expensive over the last few years. I would say post-COVID. I got the impression or not exact science that post-COVID rest of the world came back a little bit more to the pre-COVID, if you will, cost standards, while North America will still have a little bit more of that. And of course, it's not fat, but but we need to find that productivity improvements, and we have plans to accomplish that. If you don't mind, Juan, I'll add one more. Sorry. Heather, just as you think about the cost out of 500 to the seven that we've talked about, and we've started that work in 2025 as Juan mentioned, one of the big items in that unlock is manufacturing cost product. And that's what the team has plans to keep driving it. They're made progress in '25, and we'll continue to make progress in '26 and beyond.
Operator: Thank you so much. The next question goes to Andrew Strelzik of BMO Capital Markets. Andrew, please go ahead.
Andrew Strelzik: Great. Thank you for the question. Good morning. I wanted to go back to the guidance and, in particular, your assumptions on the higher end of the range. And appreciate some of the uncertainties around timing and magnitude related to RPO. But can you just share a little more specifically what you've assumed from a crush margin perspective? And maybe an improvement timing perspective on the high end of the range? And I guess what I'm really trying to get at is isolating kind of a post-RVO EPS run rate implied by your guidance at the high end versus kind of the first part of it? Thank you.
Monish Patolawala: Yeah. Andrew, as Juan mentioned and as we've said in our prepared remarks, too, at the end of the day, this is all going to depend on two things. One is what happens with the RVO guidance. What is in the RVO guidance, what's the timing of the RVO guidance, and what's the adoption of the market range. So it's very hard to sit here right now and pinpoint exactly a number that says when and how much crush margins are going to be because it's dependent on so many factors. But what we have assumed in our higher end of the range, and that's basically where we're sitting right now, one is, of course, the timing of RVO and whether the adoption of RVO happens faster, and does the and crush margins go up because of that. We have also assumed that the strengthening of consumer demand strengthens, which is both for starches, sweeteners, overall packaged goods, nutrition, as well as demand for biofuels could definitely help us out. We have also, you know, talked about saying you know, how does RINs move up? So we'll have to watch how RINs move up. And Manav asked the same question and RINs. Board crush has moved up. Already based on some of the commentary out. So Bold crush has gone up. You can depending on the near, it's gone up nearly $40.50 cents for sorry, for December 2026. That's board crush. At the end of the day, it all has to translate back to cash margins. And so, therefore, that's something you have to just keep working through and watch. So when I look at the trends that are happening, these are all good early indicators. All early indicators that says we are going to have a constructive environment. But as Juan mentioned, we are being cautious and making sure that we are giving you both the high end and the low end of the range. Where at the low end of the range, we are focused more on what we control. It's better than where we ended 2025, continued progress on our cost out mission, continued to drive where we believe that sweet starches and sweetener softness gets offset by ethanol margins and policy benefits, continued execution in nutrition. So therefore, put altogether, Andrew, unfortunately, we are just giving you a wider range. Because it's all gonna depend on ultimately where demand is and then where crush margins go. As the quarters get more clearer and as guidance comes out, we'll be definitely there to update you all. Just last piece of housekeeping advice. As you know, we don't predict mark to market. Mark to market within the quarters could move depending on which markets we hedge, when we hedge it, as well as what prices turn out to be as of the end of the quarter. So please do factor that in from a timing perspective as you all think about.
Andrew Strelzik: Great. Thank you very much.
Operator: The next question goes to Pooran Sharma of Stephens Inc. Pooran, please go ahead.
Pooran Sharma: Great. For the question. I wanted to ask about just the weaker starches and sweetener demand. We've been hearing concerns related to GLP one adoption, and that's been leading a lot of cons customers to move to spot rather than forward buying. But we've also been hearing just maybe tariff pressures causing producers to raise retail prices and that impacting demand. Just wanted to get a sense as to kind of what you're seeing and get your thoughts onto what's driving some of the softness here.
Juan Luciano: Yeah. Thank you, Brian, for the question. Listen. I think it's a combination of everything. There are we go when we produce what we produce in sweeteners, we go to so many applications that touch many, many end uses products and also channels. I would say certainly, when people adopt GLP ones, we see the consumption drops a little bit as a family. That stabilizes, if you will, after six months. But also also shift a little bit what they consume, going more into proteins and maybe less savory snacks or sweet snacks. I think there is a consumer desire to move away from ultra-processed foods to a certain degree, at least initially, and I think we're seeing part of that. It is true that although inflation for food has dropped, the actual level of prices has not dropped for some of these products. And we have seen some of our customers trying different price points to test that elasticity. Prices remained a little bit high. And I think that when the consumer sees shakiness, if you will, in the labor market, they start to become more prudent about what they do, and they become more sensitive to price. So I think it's a combination of things. We are very blessed to have the ability to make many, many products from corn. And we are blessed to have a marketing team looking at industrial applications, you know, whether it's in mining or packaging or construction and cosmetics and others, and I think that has helped us to soften some of that. But the reality is, yeah, liquid sweeteners volumes are down. Maybe in the range of five to 7%. And we're fighting hard to offset that. Part of that offset for 2026, we think will come from 45Ds and ethanol margins and that will keep probably carb solutions the way we think about it. Relatively flat year over year. But you know, we have an intense focus on protecting that volume and shifting it to other applications that may not be exposed to the same trends.
Pooran Sharma: Good. Thank you very much.
Juan Luciano: Good work.
Operator: The next question goes to Tom Palmer of JPMorgan. Tom, please go ahead.
Tom Palmer: Good morning, and thanks for the question. I wanted to maybe just clarify a few guidance items quickly. Just first, I think in the past, you've given dollar amounts for corporate and then percentages for kind of expected tax rate. Apologies if I missed it. I don't think we got it today. And then on AS and O, we've a lot of discussion, I guess, on the crushing piece, but are RPO and Ag Services, any framing of kind of relative to what we saw in 2026, where they might trend? Thank you.
Monish Patolawala: So just you'll have to remind me all your questions. But I'll try if my memory is right, Tom. One is tax rate. So adjusted ETR or expected ETR for '26 is between 18 to 20%. On corporate, as I've said, corporate will be higher on a year-over-year basis driven by a few facts. One is the improvement in SEG OP. Some of that, we are going to use to reinvest back in the business in R&D and digital. Number one. Number two, we will continue to see the impact of a lower incentive compensation in 2025. That won't repeat in 2026. And three is we're going to continue to drive cost out as we have committed to keep driving cost on corporate. So that's corporate. When you think about ag services and oilseeds, I think that was your third question. As we have said before, there's a wide range that could happen between ag service and oilseeds. Again, depends on RVO clarity. What we have done, Tom, is at the low end of the range, said that assuming there's a deferral of RVO policy or US policy, we see crush margins to be flat and then so that's factored into the low end of the range. As Juan also mentioned, from an ag services perspective, North American exports should be higher based on the policy clarity that we have got for especially with China where we should see higher volumes sold to China versus what we did in 2025. And then at the high end of the range, I already answered that question, on different things to think through. For the first quarter, I would say, again, crush margins based on the book that we already had, and we have publicly previously disclosed that too when Greg was on stage in another conference. We expect crush margins for Q1 to be very similar to Q4 in crush margin. For Q4, we have also disclosed, but just again, as you're building your model, those crush margins include a recovery of Decatur East insurance proceeds of approximately $30 million. I think it's 32 to be precise. In those crush margins. So, hopefully, I answered your questions, Tom. But if I missed something, let me know.
Tom Palmer: Thanks so much. Just on the RPO piece. Thank you.
Monish Patolawala: When you say on the oh, so what's Outlook? Again, listen. At the end of the day, you know, Juan's mentioned this on multiple calls and so has the team. I think, Tom, it's gonna come down to what is the demand for RPO. I think that's number one. And number two, once RVOs come through, there's going to be a time lag between how much you start seeing in crush margins, what RINs do, and therefore then how does it incentivize producers to start manufacturing product again as consumers? So as of right now, I think that's all in our range. And it's all going to come down to what are your policy turns out to be and what demand turns out.
Tom Palmer: Okay. Thanks for all the detail.
Operator: Next question goes to Salvator Tiano of Bank of America. Salvator, please go ahead.
Salvator Tiano: Yes. Thank you very much. I want to go back to essentially what happens once the RVLs are out, but you know, taking a step back from explicit crush margins. So the high end of your guidance at four twenty-five is it fair to say that it implies kind of that starting in July, assuming, as you said, with a lag you'll see the benefits in July in the high end in the best-case scenario. Of perhaps $1.30 in EPS per quarter, is that kind of where the new earnings power is going? And obviously, if that is the case, does this mean that with no other change in your outlook, on a full-year run rate in 2027, we could see EPS in the low five? Is that kind of your big picture view here?
Monish Patolawala: So, Salvator, again, I think it comes down to it right now. Very hard to predict exactly what that number turns out to be. As we have said, there are multiple factors at the high end. It's not just crush margins. Which is definitely one factor that should help. There's sooner we get the clarity and the more the demand is, as long as the cash margins are there, not just board crush, I think our team is ready to continue to execute, to crush, and hopefully take advantage of those margins. The other drivers in my high end of the range were also making sure customer demand or demand remains strong. That's the second. And then third, as Juan mentioned on sweeteners and starches, and bare ethanol margins. So there are multiple factors that have to go into play. To answer your question on the long run, you know, as Juan mentioned, there are five pillars that we think over the long run that should start helping us, and the company has taken 2025 to continue to be very prudent on cost. But also on cash and using that as a way to invest in these growth platforms. That can create value over the long term for ADM. How that timing works out between '25 and '26 and '27 by quarter sitting today, Salvator, it's unfair for us to be able to make that prediction because there's so many factors at play. But long term, as Juan mentioned, you know, ADM's ability to keep growing, keep creating value, keep returning value to shareholders, whether in the form of dividend, or in other forms, to remain a big keystone of our capital policy and our thesis to return value to shareholders.
Salvator Tiano: Great. Thank you very much.
Operator: Next question goes to Steven Haynes of Morgan Stanley. Steven, please go ahead.
Steven Haynes: Hey, good morning, and thanks for taking my question. I wanted to come back to the CARB solutions guide for the year. And maybe if you could just help us think a little about bit about how your sweetener contracting season went or is progressing and, I guess, kind of within your guide, how much of that weakness is related to maybe margin versus volume? And then secondly, if you've included any kind of explicit uplift from 45 c or 45 q. If you're willing to quantify that, that would be helpful. Thank you.
Juan Luciano: So, yes, Steven. Carve Solutions, the contract season went well. As I said, with some softness in volume that, at the end of the day, impacts margin. I can't quantify how much of this. As I told you before, we don't have these big cliffs of contracts anymore. So I think that, you know, it is a blend. But certainly versus other negotiations, it has been a little bit softer this year than others. With regards to 45 c, there are many to consider, of course, as to estimate the benefit. As you know, we need to think about the carbon intensity by plant. The prevailing wage issue, the amount of carbon we sequester during all these, the production volumes. And, of course, we need to see how the industry will react in terms of pricing to all these 45 z. We still don't have final guidance, but we know that this has cleared the White House Office of Budget. So we hope to hear from them soon. We think when we put in our estimate, we think that it could be a $100 million. But as I said, just to give you a flavor, there are many variables, so take that with a grain of salt.
Steven Haynes: Understood. No. Thank you. Appreciate the color.
Juan Luciano: Welcome.
Operator: Your last question goes to Matthew Blair of TPH and Co. Matthew, please go ahead.
Matthew Blair: Great. Thanks so much for sweeping me in here. You mentioned that you're expecting robust ethanol exports to continue in 2026. I think India already hit its 20% ethanol blend rate target. So could you talk about other markets where you see incremental opportunities for ethanol exports from The U.S? Then also, do you have any thoughts on the likelihood of E15 and if that does pass, you know, is there any sort of range or any sort of guide on the potential uplift to your carb solutions business? Thanks.
Juan Luciano: Yeah. Thank you, Matthew. Listen. The US continues to be very competitive in ethanol in world markets, and I think it's certainly more competitive than Brazil. And there are many, many countries that with the need for more energy for all the AI that you see and all that, there is a strong desire of removing a little bit of the burden of transportation into the oil segment. So bringing biofuels is important for sustainability perspective, but also to enlarge the energy pool. So we're seeing countries, and anecdotally, it's like Vietnam is gonna launch some, but there are like, Japan is having in the forecast. So are many countries queuing to do that. The blending rate could go high. I always make give the anecdote that when I was living in Brazil, like, thirty years ago, we were already driving cars with 20 something percent ethanol. And they were, you know, American-made cars, if you will, by brand. So that can be done. So whether we can go E15 or not, it's a matter of the industry to align to that. To have only one pipeline and only one but but there are no issues to move into E15. So we think that eventually we're gonna get there. Again, timing is the key, and I'm not into forecasting timing. So we feel very good about that. It continues to be a very cheap oxygenate. I mean, oxygenates comparable to that trade for, like, maybe $2.90. And, you know, ethanol is what, like, a dollar 60 or like that. So it continues to be very competitive. So we're optimistic into that. We also have plans that will have the opportunity to provide low carbon intensity to that based on our carbon cap and sequestration. And I think that will bring other avenues for ethanol potentially soft and other things, not only here, but outside the world. So I think we are positive about that. I think it speaks a little bit because at times, you know, biofuels become less of an impact to us. At times, like now, becomes more important. It speaks a lot about the strength of our diversified model, that we are global and very diversified portfolio. That allows us to do things like invest for growth while we are able to increase the dividend, like we increased this year, even at times in which you can consider this almost like trough conditions from an industry perspective. So I think it shows the strength of our model that provides a very strong base during the tough times. And now you're all asking questions about what could be the upside, and we would like to ride to that upside. And all we can do is improve our facilities to be able to run fully when that time comes and being able to take full advantage of the market opportunities or the regulation opportunities that will be presented to us. So we've been very satisfied with how we handle the cash and the increase of dividends over the last two years. There were tough market conditions, and now we are ready to ride the upper side of the cycle, if you will.
Operator: Great. Thank you, Matthew. We have no further questions. I'll hand back to Kate Walsh for any closing comments.
Kate Walsh: Thank you all for joining the call today. We appreciate your continued interest and support of ADM. And wish you a great rest of your day.
Operator: Thank you. This now concludes today's call. Thank you all for joining, and you may now disconnect your lines.